Operator: Good morning. My name is Jessica and I will be your conference operator today. At this time, I would like to welcome everyone to the Fifth Third Bank Second Quarter 2014 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to Jim Eglseder, Director of Investor Relations. You may begin your conference.
Jim Eglseder - Director, Investor Relations: Thank you, Jessica. Good morning. Today, we will be talking with you about our second quarter 2014 results. This discussion may contain certain forward-looking statements about Fifth Third pertaining to our financial condition, results of operations, plans and objectives. These statements involve certain risks and uncertainties. There are a number of factors that could cause results to differ materially from historical performance in these statements. We have identified some of these factors in our forward-looking cautionary statement at the end of our earnings release and in other materials and we encourage you to review them. Fifth Third undertakes no obligation and would not expect to update any such forward-looking statements after the date of this call. I am joined on the call today by several people; our CEO, Kevin Kabat and CFO, Tayfun Tuzun; Frank Forrest, Chief Risk and Credit Officer; and Treasurer, Jamie Leonard. During the question-and-answer period, please provide your name and that of your firm to the operator. With that, I will turn the call over to Kevin Kabat. Kevin?
Kevin Kabat - Chief Executive Officer: Thanks, Jim. Good morning, everyone. We reported second net income to common shareholders of $416 million and earnings per diluted share of $0.49. Results included a $125 million gain in the sale of Vantiv shares, a $63 million positive valuation on the Vantiv warrant, litigation reserve charges of $61 million and a few other items that Tayfun will cover. In total, these items benefited EPS in the quarter by approximately $0.06. Economic data has improved throughout the quarter and the economy appears to be moving in a positive direction after a weak first quarter. Although housing activity was slower than expected, new job formation should continue to help households increase their spending, while they further improve their balance sheets. We are also at a point in this cycle, where we would expect to see capital expenditures pickup after a lengthy period, where business investment has not been strong. Our overall financials are in line with and reflect the current state of the markets, regulatory environment and economic activity. Given this background, I am pleased with our results and believe that we will continue to grow our company profitably as conditions continue to improve. The strategies that we have executed including our deposit simplification project and diversified investments in corporate banking as well as ongoing activities such as the enhancements to our retail banking approach are together producing very good results in this environment and will be a differentiating factor for Fifth Third now and in the future. Loan growth remains solid despite relatively cautious customer demand. Average portfolio loans grew $1 billion sequentially and $3.8 billion from last year. Growth was driven by C&I, which was up 2% sequentially and 10% compared with last year. The sequential increase in commercial line utilization from 30% to 32% is an encouraging sign indicative of the relative improvement in the economic environment. Commercial real estate balances continue to trend up increasing 2% from last quarter as a result of growth in construction balances. NII was up 1% sequentially and 2% from the prior year as asset growth continues to offset the negative effect of loan re-pricing. I am pleased with our ability to grow net interest income during this prolonged low interest rate environment. We continue to generate solid core deposit growth, which was up 1% compared with last quarter driven by 5% growth in consumer savings and money market balances. Year-over-year core deposits were up 9% driven by 16% growth in commercial core deposit balances. Continued growth in core deposits is a sign of the strength of our retail deposit franchise and the growing scale and scope of our commercial relationships. Operating results were highlighted by card and processing revenue, up 11% sequentially and 12% from a year ago driven by increased transaction volume and card utilization. Additionally, service charges on deposits were up 5% sequentially and corporate banking revenue was up 3% sequentially. Our results this quarter benefited from the sale of a portion of our ownership stake in Vantiv as well as a positive mark on the warrant that we hold. Our combined stake in Vantiv is uniquely valuable with significant remaining capacity. As we have said before strategically, we will continue to reduce our ownership in the best interest of our shareholders. Quarterly expenses were flat sequentially and were down 8% from the prior year. Elevated litigation-related expenses prevented a larger decline this quarter. If you exclude the litigation charges in all periods, non-interest expense was down 1% sequentially and 9% from the prior year. Going forward we will maintain our focus on expense management as you would expect from us, while we continue to invest in our infrastructure and business lines to support long-term sustainable growth. Credit results were stronger during the quarter as expected with net charge-offs of 45 basis points. These charge-off levels are in line with what we would expect at this point in the credit cycle and with our overall credit metrics. Non-performing asset levels were down 12% sequentially and 28% from last year and our non-performing asset ratio declined below 100 basis points for the first time since the third quarter 2007. Capital levels remained very strong. Our Tier 1 common ratio was 9.6% on a Basel I basis and 9.3% pro forma for U.S. Basel III rules. And our Tier 1 capital ratio increased 35 basis points to 10.8%. During the quarter we conducted several actions under our 2014 capital plan including raising our quarterly common dividend by 8% and entering into an agreement to repurchase $150 million of common stock. Additionally, we issued 300 million of perpetual preferred stock during the quarter. Our tangible book value grew 9% year-over-year. Our capital generation and our overall capital position give us the ability to support balance sheet growth while continuing to return capital to shareholders in a prudent manner. Along with very good financial results I want to highlight the positive impact we are having in our communities. We were recently recognized by Gallup Organization for our commitment to employee engagement, diversity and inclusion. Gallup noted the consistent investment we have made in these areas and the benefit it’s had for employees and customers. Our innovative partnerships with NextJob and Stand Up To Cancer have been a success story recognized publicly. We were the first in the industry to partner with NextJob to offer job coaching services to our unemployed mortgage borrowers. We are now running a reemployment marketing campaign which leverages the power of social media to help job seekers reach perspective employers. Our partnership with Stand Up To Cancer led to the introduction of branded credit and debit cards that direct donations to the organization for every qualifying purchase made with those cards. We are the only card issuer to offer these affinity products and we are seeing real benefits from the relationship including better retention and higher cross sell with these customers. In addition, we surpassed the $2 million mark for donations to Stand Up To Cancer since this partnership began last year. Efforts like these make a real difference to our customers and the communities where we live and work and you can expect to see more innovative approaches from us in line with our focus on growing relationships with value added offerings. We have a role in enhancing the lives of our employees and customers and we take that responsibility seriously as we make our business decisions. Overall, I am pleased with our results this quarter. We remain focused on the things we can control to differentiate results lending and deposit generation, business execution and disciplined expense management. With that let me turn it over to Tayfun now to discuss operating results in more detail and give some comments about our outlook. Tayfun?
Tayfun Tuzun - Chief Financial Officer: Thanks Kevin. Good morning and thank you for joining us. The financial summary on Page 4 of the presentation notes some highlights from the quarter. We reported net income to common shareholders of $416 million or $0.49 per diluted share. Second quarter earnings included the following items that in total benefited results by approximately $0.06. The $125 million pretax gain on the sale of Vantiv shares and $63 million positive valuation on the Vantiv warrant were partially offset by $61 million in litigation reserve charges and $17 million impairment charge on bank premises and $16 million in negative valuation adjustment under Visa total return swap and a $12 million negative impact to equity method earnings from our interest in Vantiv related to the one-time impact of their acquisition of Mercury Payment Systems during the quarter. Earnings per share adjusted for these items were $0.43 a share, consistent with a similarly adjusted $0.43 in the first quarter. Our operating results were solid reflecting the modest rebound in the economy following the weakness in the first quarter and some pickup in spending activity by businesses and consumers. Housing activity has been weaker than anticipated at the beginning of the year and consumers are maintaining their conservative perspective on new leverage. The environment is challenging, but we remain committed to achieving positive operating leverage and prudently growing leverage. I will start the detailed review with the average balance sheet and Page 5 of the presentation. Average earning assets increased 2% sequentially driven by higher investments and lower balances. In the second quarter, average investment securities increased by $1.3 billion or 6% from the first quarter reflecting $3.3 billion of purchases partially offset by sales of lower yielding assets as we continue to optimize our liquidity position. Notably, since the second quarter of 2013, we have added $6.7 billion to the securities portfolio, increasing our investment portfolio as a percent of total assets from 13.5% a year ago to 17.6% at the end of the second quarter. With respect to our securities portfolio, the absolute level of rates creates an environment that is only marginally attractive beyond the LCR driven activity. For the remainder of 2014, we expect total interest earning assets to grow more in line with average loan growth. Shifting to loans, average portfolio loans increased $1 billion or 1% from the first quarter. Sequential growth was driven by a $1.1 billion increase in commercial loan balances, with 2% growth each in C&I and commercial real estate. C&I balances reflected line utilization of 32%, up from 30% in the first quarter, which was partially offset by run-off and pay-down activities. Higher average CRE balances were driven by growth in commercial construction balances for the sixth consecutive quarter partially offset by lower commercial mortgage balances. New commercial loan production was up 29% from the first quarter. Slightly more than half of the new production was through our large corporate, mid-corporate and structured finance segments. Commensurate with our strong presence in Midwestern states, a little more than 20% of new production represented loans to the manufacturing industry. Average consumer loans were flat on a linked quarter basis as run-off in home equity balances continues to offset modest growth in other consumer loan categories. On the deposit side, average core deposits increased $1.3 billion in the second quarter primarily driven by consumer money market account growth. Importantly, we continue to grow net new accounts and our customers are holding higher average balances. Our current cross-sell ratio in retail is about 5.5 products for consumer checking households, which is up from before our deposit simplification changes and we believe that we can improve this already strong household penetration level going forward. It’s been a full year since we completed the final leg of the conversion of our consumer deposit account offerings to a more simplified platform and it’s clearly having the intended results both in terms of consumer deposit behavior as well as fee income, which I will touch on in a minute. But first taking a look at NII on Page 6 of the presentation, taxable equivalent net interest income increased $7 million sequentially to $905 million driven by interest earning asset growth, including loan growth and a $1.3 billion increase in average investment securities balances as well as an additional day in the second quarter. These benefits offset the negative effects of loan re-pricing and higher interest expense associated with debt issuances over the last two quarters. The net interest margin was 315 basis points, down 7 basis points from the first quarter as expected. The effects of loan re-pricing, debt issuances and day count were partially offset by higher yields on investment securities. Shifting to fees on Page 7 of the presentation, second quarter non-interest income was $736 million compared with $564 million last quarter. Vantiv again provided the most significant sequential impact with a $125 million gain on the sale of shares and a $63 million positive warrant valuation partially offset by a $12 million negative impact to equity method of income from our interest in Vantiv that’s related to certain charges they recognized as a result of the acquisition of Mercury Payment Systems in June. Excluding the Vantiv items in both quarters, the decline in fee income was due to lower mortgage banking net revenue, a $17 million negative valuation adjustment for land upon which we no longer expect to build branches and a $16 million negative valuation adjustment on the Visa total return swap. We have previously described what was going in the retail bank around our distribution network and the impact of changing consumer preferences. As part of our ongoing effort to optimize our retail distribution strategy, we continually evaluate the composition of our branch network and land parcels. In the second quarter, we determined that a number of properties we have originally intended for future banking centers no longer meet our targets. Based on the appraisals we have received we booked $17 million impairment charge in the quarter reduced their carrying value to estimated fair value. Moving on to line item results within fee income starting with mortgage banking revenue. Residential mortgage originations increased to $2 billion with 70% purchase volume as we benefited from the uptick from the spring buying season partially offset by the impact of our decision to exit the broker origination business in March. If we exclude broker originations from the first and second quarter number originations increased 36% in each quarter. Despite higher origination mortgage banking net revenue declined sequentially due entirely to $32 million swing on net servicing asset valuation adjustments which were a negative $26 million this quarter compared with positive $6 million in the first quarter. Other components of mortgage banking revenue were more stable with gains on mortgages sold, up 3% reflecting the higher origination volume. Gain on sale margins declined 4 basis points sequentially to 238 basis points and servicing fees were flat sequentially at $62 million. Investment advisory fees were also strong this quarter. You will see that sequentially as the first quarter is seasonally strong but the business showed 4% growth year-over-year benefiting from a 10% increase in personal assets under management as well as higher market values. Card and processing revenue and service charges on deposits rebounded from a seasonally light first quarter, up $8 million and $6 million respectively but also showed growth compared with last year. 12% growth in card and processing revenue from a year ago reflected progress on our goal to increase the number of cards our customers have and the utilization of those cards as well as higher consumer purchase volume. Year-over-year growth in deposit service charges of 2% was driven by a 7% increase in commercial deposit fees as we are continuing to drive deeper relationships on that side of the business. Our results demonstrate the progress we have made in forming new customer relationships as well as selling new products and services to existing customers. The positive results in our deposit fees show that our fee revenue growth strategies in both consumer and business segments based on innovative value added products and services are achieving the intended outcome. Corporate banking revenue increased 3% sequentially with a pickup in syndication fees and foreign exchange fees. Growth of 1% from a year ago is driven by higher syndication fees and institutional sales revenue given our focus on increasing (lead) left relationships to better position ourselves to earn a greater share of our customers’ non-credit business. In sum, our core fee income performance held strong despite the challenging revenue environment. We have done a good job of driving long-term profitability in our core businesses, while overcoming the impact of businesses that we have exited like the brokerage mortgages. The other side of the equation is our commitment to expense discipline. Non-interest expense shown on Page 8 of the presentation was $954 million this quarter compared with $950 million in the first quarter. Expense results included $61 million in litigation reserve charges higher than the expected as regulatory and litigation costs to remain a headwind which you can see in the recent announcements from other peers. We would expect these charges to decline from these levels although it’s hard to predict when that will happen. Excluding litigation charges adjusted expenses were well controlled and were $892 million which was down $6 million sequentially when normalized for the first quarter litigation charge as well. This sequential decline reflected lower benefits expense from seasonally higher first quarter levels and was partially offset by higher long-term incentives that were paid in the quarter. Our FTE count declined a percent from the first quarter. We did see higher card and processing expense sequentially in line with the higher revenue earned in that business during the quarter. All other lines were good and we remain pleased with our ability to manage our core expense levels. PPNR shown on Page 9 of the presentation was $682 million. When adjusted for the items noted on the slide, PPNR was $593 million, up slightly from the first quarter adjusted PPNR, the result of NII performance and the core expense discipline I just mentioned. The efficiency ratio adjusted on the same basis was approximately 60% for the quarter. Turning to credit results on Page 10, total net charge-offs of $105 million decreased $67 million sequentially, with a $57 million decline in commercial net charge-offs and a $10 million decline in consumer net charge-offs. As we expected, net charge-offs of 45 basis points of average loans and leases returned to trend. Total delinquencies remained low at $337 million. Non-performing assets of $832 million at quarter end were down $114 million from the first quarter bringing the NPA ratio to 92 basis points, its lowest level in seven years. Commercial NPLs of $396 million declined 15% sequentially and reflects overall improved financial results in several large relationships as well as the lower level of inflows. As you know, the snick exam has been a topic of interest given the public discussion during the quarter. Results are generally communicated to banks in the second quarter. While I can’t get further into specifics, the results we received were very much in line with our own internal assessments and we don’t currently expect any material impacts next quarter related to the exam. Wrapping up on credit, the allowance for loan and lease losses declined $25 million sequentially and reserve coverage remains solid at 1.61% of loan and leases. I would reiterate that future changes in our reserves will increasingly reflect loan growth more than the changing credit profile of the overall portfolio. The pace of reserve releases slowed this quarter and I anticipate that trend to continue. Turning to capital on Slide 11, capital levels continue to be strong and well above regulatory requirements. The Tier 1 common equity ratio was 9.6%, up 10 basis points from last quarter and the Tier 1 capital ratio increased – Tier 1 capital ratio increased 35 basis points to 10.8%. During the quarter, we announced an 8% increase in the quarterly common dividend to $0.13 per share as well as common stock repurchases of $150 million. The average diluted share count is down another 1% sequentially and is the lowest we have seen since the end of 2010. We also issued $300 million of preferred Series J, which means the total amount of preferred stock in Tier 1 capital to $1.3 billion or 111 basis points of risk-weighted assets. Just so you have it for your models, the Series J issuance carries a semi-annual dividend, which would normally be about $7 million every quarter starting in September. However, this will be about $5 million in third quarter as a result of the shorter first dividend. Similarly, our Series H issuance carries a semi-annual dividend which would be about $15 million every other quarter paid in June and December. And the Series I issuance carries a $7.5 million quarterly dividend. Therefore, our third quarter preferred dividend should be $12 million and then it should resume its normal alternating pattern of $22.5 million in the fourth quarter, $15 million in the first quarter and so on. Now, turning to the outlook on Page 12, we have updated parts of the slide to reflect any changes to our full year expectations. As in the past, comparisons exclude the impact of any gains on Vantiv share sales and changes in warrant value in 2014 and 2013 as indicated in the footnote on the slide. Our NII, NIM and balance sheet expectations are unchanged. I will start with net interest income. We expect full year 2014 NII to increase from full year 2013 NII of $3.6 billion in the 2% growth range. The key drivers of the 2014 growth are loan growth and higher investment securities balances partially offset by increased funding costs and some additional loan spread comparison. We still expect NII to trend up throughout the year. We anticipate a full year NIM in the 315 basis points range plus or minus again unchanged from prior guidance as we continue to evaluate our LCR position and see continued effects of re-pricing. Our NII guidance includes the impact of the decision we made earlier this year to limit the availability of our deposit advance product to existing customers. We continue to evaluate possible banking solutions that would be appropriate for a potentially wider segment of customers. We are reviewing alternative options to offer products and services to these customers taking into account their needs and preferences. We would also aim for any transition plans to minimize disruption for our customers. It is critical that we get this right utilizing the time we have to do so. We will inform you of our plans as we conclude these reviews. Although the outcome will depend on the final product design and customer usage, the revenues will be considerably lower than our existing deposit advance product, but the outcome will depend on the final product design and customer usage. Turning to loan growth, we still expect mid single-digit growth for the full year primarily driven by growth in C&I and commercial real estate. These increases will be partially offset by declines in residential mortgage balances and continued run-off in the home equity portfolio. We continue to expect a mid single-digit increase in deposits driven by both commercial and consumer. Moving on to overall fee income and expense expectations for 2014. As a reminder, these comparisons exclude $534 million in 2013 fee income related to gains on Vantiv sales and changes in the warrant value. Our 2014 guidance likewise excludes any effect from these Vantiv items. Largely reflecting the current mortgage environment and our exit from the broker channel, we currently expect a low double-digit decline in total fee income in 2014 compared with adjusted fee income in 2013, which includes negative impact from the charges to Vantiv equity method income and bank-owned land we discussed earlier totaling $29 million. We would expect mortgage banking to remain relatively flat versus the second quarter for the remainder of the year. Excluding mortgage, we expect fees to grow in the mid single-digits range in aggregate versus 2013 with growth in all other major fee categories. Within this guidance, based on the timing of some categories, we expect fee income trends to accelerate in the fourth quarter, which also revamped from the TRA payment that we expect to receive from Vantiv. Looking at the details within fees, we would expect to see low single-digit percentage growth in deposit fees although commercial service charges are growing at a mid single-digit pace. We expect investment advisory revenue growth in the mid single-digits range with strong growth in our asset management fees and more moderate growth in brokerage income. And we expect corporate banking revenue growth in the 10% range with the bulk of the growth in the fourth quarter. This is slightly below our previous guidance driven by low volatility in the markets, which is having a negative impact on dividend and foreign exchange volumes. We are increasing our expectations for card and processing revenue growth to be in the high single-digits range. Turning to expenses, we expect full year non-interest expense to be down in the mid single-digits range perhaps about 5% relative to reported 2013 expenses. We currently expect expenses in the third quarter to be up slightly from the $893 million core expenses we reported in the second quarter, excluding any unforeseen one-time items. As always, we remain committed to managing our expenses in line with revenue trends while maintaining appropriate investments in the company to build future revenue streams and risk infrastructure in light of the changing business and regulatory environment. Overall, we still expect to achieve positive core operating leverage in 2014, excluding Vantiv. We expect PPNR to be relatively stable for the year compared with 2013 and we still expect the efficiency ratio to move below 60% in the second half of the year. As for taxes, we expect the full year 2014 effective tax rate to be in the 27% to 27.5% range. Turning to credit, our outlook for full year net charge-offs is relatively unchanged and remains around 50 basis points for the year. We still expect a significant decline in NPAs, down about 15% from last year’s levels further reducing the NPA ratio. With respect to loan loss reserves, we continued to expect the benefit of improvement in credit results to be partially offset by new reserves related to loan growth. All in, we produced another solid quarter. This is a tough competitive environment where the focus is clearly on execution and we will continue to drive towards improving performance where we feel we can do better. That wraps up my remarks. Jessica can you open the line for questions please.
Operator: (Operator Instructions) Your first question comes from Ken Zerbe from Morgan Stanley. Your line is now open.
Ken Zerbe - Morgan Stanley: And just in terms of the deposit advance products, looking at yields, it looks like they are down about four percentage points this quarter to about 35, has anything changed in terms of your expectation for how quickly that does run off and just to be super clear all that run off is already or is it already included in your current guidance? Thanks.
Tayfun Tuzun: Yes, the progress on EAX this year is included in our guidance. I would say that the behavior, customer behavior is relatively in the range of our expectations. It is not a whole lot different from where expected when we made the announcement earlier this year.
Ken Zerbe - Morgan Stanley: Understood and you guys have not – do you have an estimate in terms of timing of when you might come up with an alternative product?
Tayfun Tuzun: We are working on it Ken. Clearly it’s a pretty complex process. We know obviously that some agencies have provided guidance, others are working on it. There is no full clarity. And I think we have obviously a group of people working on it and we will be working on it for the remainder of the year. And we will share the upgrades with you as soon as we have more clarity. But I think it will take number of months before we can clarify where we are going.
Ken Zerbe - Morgan Stanley: Alright. And then last question just in terms of the litigation charges I guess Fifth Third is not one of the banks that normally think about having of – having high litigation expense, but can you give us anymore color in terms of what’s driving those expenses and whether there is any kind of resolution and insight on that? Thanks.
Tayfun Tuzun: I am afraid I am not going to be able to give you more details than what is in our filings and you can go to our latest 10-Q filing and look at the items that we discussed. Its environmental, we are dealing similar issues that other banks are dealing with. And we expect these litigation charges obviously to end. And we don’t necessarily have a clear path to calendar time and will end, but the issues that we are dealing with are not a lot different from the issues that other peer banks are dealing with.
Ken Zerbe - Morgan Stanley: Alright. Thank you very much.
Tayfun Tuzun: Thank you.
Operator: Your next question comes from Paul Miller from FBR Capital Markets. Your line is now open.
Jessica Ribner - FBR Capital Markets: Hi, this is Jessica Ribner for Paul, how are you?
Kevin Kabat: How are you?
Jessica Ribner - FBR Capital Markets: Good, thank you. We have one question just on the mortgage banking side of the business, how are you addressing the segment as a whole and what’s going in the market that we are looking probably a sub-trillion market weighted towards purchase, but the purchase market hasn’t come back like we thought, how are you thinking about that going forward?
Tayfun Tuzun: Right and we agree with you that our expectations coming to this year with respect to the spring and summer season were higher than what the actuals are coming out at. The volumes are lower. From our perspective the other added element is we decided to exit the brokerage channel in – during the first quarter that clearly is impacting our volumes. In terms of the remainder of this season and remainder of the year we are not expecting significant changes to our origination volumes. Our origination volumes when you exclude the brokerage channel are up at a very healthy level. Our pipeline when you exclude again the impact of the brokerage channel is actually up at a very healthy level 30 plus percent as well. So we have lowered our expectations given the housing activity that we have seen over the past two, three months. And our guidance for the remainder of the year reflects that sort of more of a flat performance on the top line revenue in that business.
Jessica Ribner - FBR Capital Markets: Okay. And then just in terms of July, have you seen any upward trends from the second quarter?
Tayfun Tuzun: In terms of just mortgage or overall?
Jessica Ribner - FBR Capital Markets: In terms of mortgage.
Tayfun Tuzun: Similar trends, once you get it late into the season, these trends don’t necessarily change much month-over-month. So, I would say that what you are seeing out with respect to housing data is probably reflective of what we are seeing.
Jessica Ribner - FBR Capital Markets: Okay, great. Thank you so much.
Tayfun Tuzun: Thank you.
Operator: Your next question comes from Erika Najarian from Bank of America/Merrill Lynch. Your line is now open.
Erika Najarian - Bank of America/Merrill Lynch: Yes, good morning. Thank you.
Tayfun Tuzun: Good morning.
Erika Najarian - Bank of America/Merrill Lynch: My first question is in terms of your progress or if you prefer what inning you are in terms of reaping potential savings from your retail distribution resizing sort of where are you on your progress? And as we think about 2015, we appreciate certainly the guidance for the efficiency ratio in the second half, but if the interest rate environment doesn’t change, is there enough potential savings left in the till to continue to drive the efficiency ratio down further next year?
Tayfun Tuzun: I believe that there is more room in our expenses. Clearly, we have been very focused in looking at the revenue trends, in looking at the future of our businesses with and without an increase in the interest rate environment and our efforts so far have produced very good results. Now, in terms of the retail business, the demographic trends and the customer usage trends are changing very rapidly. So, we end up adjusting our expectations continuously as every month data comes in with respect to how heavily customers are using the digital channels. We are up over 30% now in terms of the total deposit transactions that are coming through the ATMs and the mobile app. So – and also our pilot projects with respect to the design of our branches, with respect to the type of employment that we have in those branches are producing good results as well. So, there it is going to the more room as we continue to invest in technology and as the customers are also likely to exceed our expectations as to how they interact with us. Going back to what that means for efficiency ratio just even sort of beyond 2015, we have always said that where we are as a company 55% efficiency ratio with somehow from the interest rate environment is very achievable. We continue to believe that. And we will do our best to time the movement and the efficiency ratio along with the revenue patterns that we see. But for now, I think the fact that we are guiding to a sub 60% level for the second half of the year is pretty good given the rather subdued economic environment that we are seeing and sort of the challenges that we are facing for example with respect to mortgage revenues. I mean, that’s we are pleased I believe that there is more room and we will do our best to continue to produce those results.
Erika Najarian - Bank of America/Merrill Lynch: Okay, thank you for answering my questions.
Operator: Your next question comes from Keith Murray from ISI. Your line is now open.
Keith Murray - ISI: Thank you. Just touching on litigation expense and I appreciate you can’t give too much specific information, but just curious if the increase is related to new items or changes in existing items based on what you have seen in other settlements etcetera?
Tayfun Tuzun: Yes, I am afraid I am not going to be able to give you more detail really than what we have in the Q. I mean, we will be updating obviously our 10-Q filing here shortly. If there is any update, we are going to communicate that via Q.
Keith Murray - ISI: Okay. And then just back on the deposit advance products, can you just explain the revenue dynamic for ‘14, so let’s assume for augment sake, you don’t have a replacement product in place by the beginning of ‘15? Would there be like a cliff decline in revenue in the first quarter of ‘15 as you phase out at the end of ‘14 just how does that work?
Tayfun Tuzun: Yes. In my discussion at the beginning of this call, I mentioned that we are working both on what the product or the set of products and services is going to look like as well as how we are going to manage the transition period as we tend to – as we intend to avoid an abrupt disruption to the delivery to our customers, so more to come on that as we get closer to the end of the year.
Keith Murray - ISI: Okay, thanks.
Operator: Your next question comes from Matt O’Connor from Deutsche Bank. Your line is now open.
Unidentified Analyst: Hey, guys. Good morning. This is Dan (indiscernible) from Matt’s team.
Tayfun Tuzun: Good morning.
Unidentified Analyst: Good morning. If you could just comment on the commercial pricing trends that you are seeing and your expectations for that going forward, it seems like utilization was up a little bit this quarter on the commercial side and what do you think that means for C&I growth?
Tayfun Tuzun: We typically – let me answer the second part of your question. We typically don’t have aggressive assumptions on utilization rates, because we don’t really see an abrupt increase in the economic activity. So, our guidance really does not rely much on continuing pickups in utilization rates. In terms of pricing, it continues to be competitive. The segments that we are growing mid corp and large corp are very attractive segments for all banks and we expect that environment to continue. It likely is not going to change much. The other part from our perspective is we are continuously booking commercial loans on better credit profile compared to previous periods. And so from a new yield perspective, what you are seeing in our overall portfolio yield progress is impacted by that improving credit profile of new loans that are coming on the sheet. So, in general, we have no expectations that this pricing environment is going to change much. We don’t really and we have not built in any utilization rate increases into our outlook. Our production continues to be very strong. I looked at our production – new production patterns going back to the beginning of 2011 and if you take out Q4, because Q4 is always a very high origination volume quarter. This quarter’s production beat 8 of the 11 quarters. So, production patterns continue to be well, just the refi and payoff activity is producing more subdued results from a just portfolio outstanding perspective, but we are pleased with the activity levels.
Unidentified Analyst: Alright, thank you. Just lastly, can you just remind us of the pace of the contingent tax liability going forward?
Tayfun Tuzun: In terms of dollars, dollar payment?
Unidentified Analyst: Dollars and timing.
Tayfun Tuzun: The timing is you are talking about Vantiv I am assuming.
Unidentified Analyst: Yes.
Tayfun Tuzun: Okay. So, the timing is going to be Q4 and as we have discussed this is a very long series of contingent cash flows upwards of 15 years. And our – when you look at Vantiv’s filings based on what they disclosed, the Q4 amount is about $23 million.
Unidentified Analyst: Okay, thank you very much.
Tayfun Tuzun: Thank you.
Operator: Your next question comes from Brian Foran from Autonomous. Your line is now open.
Brian Foran - Autonomous: Hi. So, I guess not to beat a dead horse on this deposit advance, but is it fair to say if I hear you right, it’s in the ‘14 outlook, but it’s also kind of slowly starting to bleed down. And as we look to ‘15, you have to do the review on the replacement products, but you kind of referenced any replacement product maybe fewer customers that will qualify in the ability to repay, maybe there would be a little bit higher underwriting expense going along with it. So, is it right to think it’s annualizing maybe $125 million I think of revenue right now? And maybe as we look to ‘15 for those would kind of have to put something in the model maybe haircut it by half or something? I mean is that clearly that half is my estimate, not yours, but is it right to think that ‘15 has a step down kind of regardless of what the outcome of the review is and it’s just a question of how much that step down is?
Tayfun Tuzun: Look, I mean, I think we have not provided guidance with respect to ‘15 on specific percentage terms. The other thing that I want to clarify is we believe that ultimately the solution needs to be evaluated as more of a different nature of products and services rather than just one-for-one product substitution, because the nature of the offer is going to be broader. We are looking at a package of different products and services that this segment is going to need and we are designing our offer relative to that type of demand. What’s difficult is ultimately it is the new offer or bundle of products and services is going to address a most likely a wider segment of customers than the set of customers who are using our existing EAX product. So, part of the change in the revenues and profits tied to this is going to depend on that widening up in customer base. Whether the number is 50%, 60% lower, I don’t have enough information, if I had I would have given you that guidance today. But in terms of there is going to be at the end of 2014, we will update you guys on that progress, but clearly the change in the revenue line item in ‘15 is going to be reflective of a more discreet change on revenue that are coming through that line.
Brian Foran - Autonomous: It’s very helpful. On the commercial side, I guess two numbers that I was grappling with, one on the NPL inflows. Clearly, there is kind of a walk back in most credit metric this quarter, which is good news. The NPL inflows have been a little higher kind of as a run rate if I smooth out over the past couple of quarters. So, I wonder if you could just talk broadly about the commercial credit cycle and whether do you think we are bouncing along the trough or whether you think we are starting kind of a process of normalization fully realizing that there were some unusual credits last quarter, let’s call them? And then secondly, I think you mentioned the commercial core deposit growth was up 16% year-over-year, I guess regardless of whether that number is right more broadly as you think about commercial deposits, any ability you had to parse apart, how much of it is core customer growth, new accounts, things like that versus how much of it you feel like might be excess liquidity sitting around because of the low rate cycle?
Frank Forrest: This is Frank Forrest. Let me take the first part of your question and I will let Tayfun answer the second part. On the NPL question, we are certainly making very good progress and continuing to move both NPAs and NPLs down. We did have a slight pushup in the second quarter on NPLs. Quite frankly, that came from a very thorough review of our portfolio, specifically our leverage book. So, we had a few credits that we moved into the NPL category as a result of that review. We are very pleased overall however with the review and the quality of the book once we went back and reconfirmed it. But the overall trend and the guidance we have given both on NPAs and NPLs projects that we continue to see opportunity for further decline through the end of this year into next year. We are working that very carefully. We are very pleased with the results today than especially with the decline in NPAs in the second quarter. So, there is still room for improvement.
Tayfun Tuzun: On the commercial deposit side, I would say that the increase that we have seen is related to core growth, our existing customers and relationships. It’s difficult to judge how much of that core increase is related to the excess liquidity that they have, but clearly in this LCR environment, our focus is on LCR friendly core commercial deposit growth, but there is clearly a segment of that increase that is related to excess liquidity. Jamie, I don’t know if you have any additional comments on that?
Jamie Leonard: Yes. I think the nature of your question is just getting in how are we modeling deposit behavior for what potentially could be a rising rate environment. And one of the things we continue to do is reevaluate what occurred in 2004 which was the last time we entered a Fed tightening cycle. And for us, three significant differences with how we model the deposit behavior going forward versus what we actually experienced back then, one is we currently assume no lag in increasing deposit rates whereas back then you certainly had a lag and how the industry responded to raising rates in order to restore historical deposit spreads. Second, we have a higher level of absolute betas assumed today than we did actually experienced back then. But then finally, to your point we do assume significant run off in certain deposit classes and wholesale DDAs is one of them. So we do model fairly significant run off and yet after all of these conservative and prudent modeling we still are asset sensitive and pretty comfortable with our position.
Brian Foran - Autonomous: That is very helpful. Thank you.
Kevin Kabat: Thank you.
Operator: Your next question comes from Ken Usdin from Jefferies. Your line is now open.
Kevin Kabat: Good morning Ken.
Ken Usdin - Jefferies: Tayfun to your comments earlier about expenses understanding that you are anticipating a sub-60 efficiency ratio, is the second quarter where you guys have done really well and relatively well compared to expectations on core expenses, yet we see a reduction in the fee guidance and no further reduction in the expense guidance, so I am just wondering what those moving dynamics are between revenues and expenses in terms of the delta in pre-pre and what are the drivers of incremental expense growth that you wouldn’t be able to adjust against the changes you are making on the fee outlook side?
Tayfun Tuzun: Yes, just to reiterate the outlook. The outlook is for the entire year and is reflective of sort of the realized changes in mortgage. And in corporate mortgages clearly it’s been affected by a little bit higher amortization in the MSI itself. As we look forward to the remainder of the year, we still believe that we are going to do a good job of non-interest income and different fee categories we had very expectations as we updated payment processing, IA continues to be strong. And corporate banking activity is going to be strong as well. It’s currently being impacted by low volatility in certain sensitive line items. The expenses, there are some seasonal changes from Q2 to Q3. The market specifically picks up in Q3. There are some – the impact of known amortizations from previous capital investments in IT etcetera. Remember we are continuing to invest in the company. We are not stopping it. But clearly what I would tell you is whether we achieve it in a given quarter, if we do see significant changes to revenue we do actually act and we make sure that our expense line does not necessarily cross the revenue growth line. So what I can tell you is so far we have done a good job in adjusting our expenses based on revenue trends and some of it obviously has been impacted by important decisions exiting brokerage channel was an important event that impacted the mortgage line of revenues. But I can guarantee you that the focus on expenses is very much high on our priority list. We believe that when you see our numbers going forward we will continue to prove that it’s a high priority item.
Ken Usdin - Jefferies: Okay and my second question is the automobile loans line has been now flat line for a several quarters and understanding the competition and the spreads that are out there flushed out against the fact that SAAR industry sales are continuing to go up every quarter, can you just talk about originations versus pay downs and where you stand on desire to grow that business?
Tayfun Tuzun: So let me give you a couple of data points with respect to production. Last year’s Q2 2013 production was $1.6 billion I think first quarter was $1.3 billion that’s down from $1.4 billion in Q1. We are being very careful in putting to work our shareholders equity in that business line and we are trying to find the best balance as we get into right profitability and the right product profile. The business continues to be very competitive, good pay off performance is really not much different, so with the impact of the outstanding volumes is really more due to changing production patterns. Our first goal is to book profitable loans. We are not going after volume and we will not change that approach. We have done a better job the last six months compared to the previous six months in achieving a better spread in that business and we kept the credit profile, duration profile of that business fairly stable. So, we are pleased. We are not complaining that origination volumes are slightly down, but we will continue to look for opportunities and when it’s time to increase production, we will do so, but it has to be done on a profitable basis. We are not going to just do it to show higher loan growth.
Ken Usdin - Jefferies: Okay, got it. Thank you.
Tayfun Tuzun: Thank you.
Operator: Your next question comes from Mike Mayo from CLSA. Your line is now open.
Mike Mayo - CLSA: Hi. Your lower guidance for fees and pre-provision net revenue, is that solely due to the reduction in mortgage that we have seen so far year-to-date?
Tayfun Tuzun: Largely, yes. I mean, there is some drop in corporate revenues that are more against sensitive item interest rate derivative volume was a little bit less than we expected. Our investment advisory business is doing well, bit below because we are moving that business from a transactional focus to a stable growth in asset management, but in general, Mike, it’s more reflective of what’s happening in mortgage than anything else.
Mike Mayo - CLSA: And is the forward guidance indicative of everything you have seen so far year-to-date, whether it’s the investment advisory, the mortgage broker channel, or the MSR write-down or is that also more subdued expectations when you look ahead?
Tayfun Tuzun: It’s more reflective of what we have seen.
Mike Mayo - CLSA: Okay. So, there is no real change in the forward outlook, except that it starts for a little lower base?
Tayfun Tuzun: That’s about right, yes.
Mike Mayo - CLSA: Okay. But if a lot of this is due to the mortgage broker channel, why wouldn’t you have known about this guidance after first quarter earnings, I mean, what’s the new information here?
Tayfun Tuzun: I think what’s happened was that the change was a bit more abrupt than what we expected. The MSR performance clearly when you compare just when you look at Q1 numbers, our hedge gains were a little bit higher in Q1 moving production away from broker mortgage also impacted the amortization of the asset itself as new originations were a bit lower than we expected. So, it’s a combined effect between what’s happening to the servicing asset as well as the origination volumes.
Mike Mayo - CLSA: Sure. But wouldn’t you have known about that amortization change since you knew in advance you were moving product away from the broker channel or was there something that was missed or the rates changed or something changed, right?
Tayfun Tuzun: Just remember going back to the earlier part of the discussion, somebody asked what we thought about the housing activity on origination levels, even excluding the broker channel we put on less in our servicing portfolio than we originally anticipated due to the subdued housing activity. So, we thought that the purchase activity would be higher even just based on our retail channels.
Mike Mayo - CLSA: Okay. But as it relates to mortgage really the damage has been done as reflected by this quarter’s results?
Tayfun Tuzun: We believe that we will have a fairly flat performance in mortgage for the remainder of the year, yes.
Mike Mayo - CLSA: Okay. Switching gears, so what were second quarter revenues from the deposit advance product?
Tayfun Tuzun: About $30 million.
Mike Mayo - CLSA: $30 million, okay.
Tayfun Tuzun: That’s a gross number.
Mike Mayo - CLSA: And what was the net?
Tayfun Tuzun: I don’t have the credit numbers in front of me, Mike, we can…
Mike Mayo - CLSA: Or even ballpark, I mean, I will take is it bigger than a breadbox sort of answer here, just trying to size this.
Tayfun Tuzun: It’s just about a breadbox probably.
Mike Mayo - CLSA: You can buy lot of breadboxes for $30 million. So, I mean, what sort of loss rates do you have on this product?
Tayfun Tuzun: Mike, I don’t have those numbers with me, but it’s a small number, it’s not a very big number.
Mike Mayo - CLSA: Okay. So, this is a big nut to swallow here, I mean either you mitigate this or per the prior question, lose $120 million in revenues per year, is that too draconian simply to take $120 million off the top starting day one of 2015?
Tayfun Tuzun: I believe that is too draconian, ultimately the outcome will depend on the transition period and also the replacement of this revenue stream. But as we said in our opening lines revenues will be considerably lower, but taking the entire amount out I think…
Mike Mayo - CLSA: And what sort of efficiency ratio does that business line have?
Tayfun Tuzun: A very low efficiency ratio.
Mike Mayo - CLSA: Okay. So it’s pretty low. As far as your buybacks, shares were reduced by 1%, but you didn’t redeploy the Vantiv gain, so should we assume maybe the pace of buybacks picking up here in the next quarter?
Tayfun Tuzun: Yes. I mean they should, it’s more of a really calendar issue Mike, it’s we will obviously resume our activities as we get out of blackout period. So it’s not indicative of a change in pattern. And we should – we should see a pick up here in the activity this quarter.
Mike Mayo - CLSA: When does your blackout period end?
Jamie Leonard: Look, Mike its Jamie. The more important thing is the current ASR expires at the end of July.
Tayfun Tuzun: Yes. So it’s difficult to have two ASRs at the same time in the market you can do it but, our blackout there is started with our Board meeting in mid-June and its now is over with this earnings release.
Mike Mayo - CLSA: And just a follow up on that, at what price level does it make sense to buyback your stock I mean up to what price or what sort of parameters do you use for that?
Tayfun Tuzun: So far we have focused on share buybacks as a systemic return of capital to our shareholders and we have refrained from necessarily acting based on day-to-day, month-to-month stock awards. We always believe that our stock is a good buy. And so far when we look at the IRR in the last two years of aspiring stock the performance has been very good. We will continue that approach. We still believe that our stock is a very good investment. And at this point we are not necessarily being guided by the stock prices today.
Mike Mayo - CLSA: Sure. Alright, thank you.
Tayfun Tuzun: Thank you.
Operator: Your next question comes from Terry McEvoy from Sterne, Agee. Your line is now open.
Terry McEvoy - Sterne, Agee: Hi, thanks. Just one question left on my list. Do you have the Vantiv gain in the second quarter and I am not connecting any dots, but you also had the land valuation adjustment, so you made a decision to look at the value of the land, I am just thinking about the litigation reserve, was that something that could have been taken in future quarters much like the land valuation adjustment or was there something specific in terms of conversations or something that is event driven that was behind that charge?
Tayfun Tuzun: Terry these are totally independent events. The litigation reserves are tied to activity that we see during the quarter and what we have in front of us the land valuation that’s we look at every quarter, so none of these are tied together. These are all independent decisions that we have made based on the facts that we know as of today.
Terry McEvoy - Sterne, Agee: Great, thank you.
Tayfun Tuzun: Thank you.
Operator: And this does conclude today’s conference call. As we have reached our allotted time, you may now disconnect. Thank you.